Operator: Greetings, and welcome to EchoStar Corporation Fourth Quarter 2025 Earnings Conference Call. At this time, participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Dean Manson. Thank you. You may begin.
Dean Manson: Thank you. Welcome to EchoStar Corporation's fourth quarter and full year 2025 earnings call. We will begin with opening remarks from Hamid Akhavan, CEO of EchoStar Capital, followed by Charles Ergen, CEO and Chairman of EchoStar Corporation. We request that any participant producing a report not identify other participants or their firms in such reports. Also, do not allow audio recording, which we ask that you respect. All statements we make during this call other than statements of historical fact constitute forward-looking statements made pursuant to the Safe Harbor provided by the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by the forward-looking statements. For a list of those factors and risks, please refer to our annual report on Form 10-Ks for the fiscal year ended 12/31/2025, filed today, March 2, and our subsequent filings made with the SEC. This information and supplemental materials relating to today's call will be posted on our Investor Relations website. Cautionary statements we make during this call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and should not place any undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. We refer to OIBDA and free cash flow during this call. The comparable GAAP measure and a reconciliation for OIBDA is presented in our earnings release and in the case of free cash flow in our Form 10-Ks as filed today with the SEC. Before we begin, I will also note that EchoStar Corporation has filed an application that would allow it to participate in the FCC's upcoming AWS-3 spectrum auction designated as Auction 113. Pursuant to the FCC's anti-collusion rules, we are currently in a quiet period. Accordingly, we will not be making any comments or responding to any questions that relate to Auction 113. With that, I will turn it over to Hamid.
Hamid Akhavan: Thank you, Dean. Welcome everyone and thank you for joining us today to discuss our 2025 end of year results. Before I hand over to Charlie, I would like to briefly comment on a few topics relevant to EchoStar Capital. As we await capital final regulatory approvals for our spectrum sale and the resulting influx expected during the first half of this year, we remain committed to being excellent stewards of capital. We are preparing to allocate and utilize these funds based on our view of how we might maximize shareholder returns with actions spanning from immediate to over a long horizon. Our decisions are based on many considerations, including paying down expensive or maturing debt obligations, our current and anticipated tax liabilities, and any mitigating avenues and investments and development opportunities at EchoStar Capital versus returning excess capital to the shareholders through the common short-term remuneration options. These considerations are both complex and interrelated, further complicated by dynamic external factors such as the possibility and the timing of a potential SpaceX IPO. With this context as background, it would be difficult and potentially misleading for us to provide significant detail on most of these topics at this time. EchoStar Corporation is in means of a large-scale positive transformation, arising from its vision, long-horizon strategic bets, and decades of diligent execution. We feel confident about our ability to continue operating on the same success principles and navigate for the best shareholder outcome in the long run. With that, I will now turn the call over to Charlie.
Charles Ergen: Thanks, Hamid. And as you guys know, I do not normally have any opening statements, and I do not today. So we will just jump into questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. If you would like to ask a question, please press 1 on your telephone keypad. You may press 2 if you would like to remove your question from the queue before pressing the star keys. One moment please while we poll for questions. Our first question comes from Sebastian Petty with JPMorgan. Your line is live.
Sebastian Petty: Hi, everyone. Thank you for taking the question. Hi, Charlie. Hi, Hamid and team. Charlie or Hamid, I want to see if you could update us on how you are thinking about passive versus active investments within EchoStar Capital, notwithstanding your prepared remarks. Is that still the right avenue or how you are kind of thinking about it within that context given anticipated IPO of SpaceX, would increasing your or EchoStar Corporation's stake within SpaceX be something you would be considering? And then, Charlie, big picture question. Yeah. EchoStar Corporation did have an announcement about a DDD constellation, which obviously you will not be pursuing. But how do you think you see how you see that ecosystem evolving having spent, you know, decades around the industry, particularly the convergence of wireless and satellite? I think you have a unique perspective. So just love to hear your thoughts. Do you see this as complementary? Do you see this as a threat to the incumbents having experience trying to be a fourth player yourself? Thank you both.
Hamid Akhavan: I will try to answer the first few questions; they were all wrapped in one. I apologize if I missed some of it. Please repeat that. Look, EchoStar Capital, as I mentioned, we are looking at every possibility for utilization of the liquidity and cash when it arrives. As I mentioned, we are looking at short-term options, traditional, we send to the shareholders through the best means. Obviously, we are looking at the long horizon for creating value. All of this in the context of, you know, taxation and how the net return to the shareholders may be. We are obviously looking at our opportunities every single day and judging that against what other options may be available. So it is a long answer to a short question, but honestly, that is the case. It would be foolish to do anything other than that. We do not actually, until the closing, we do not actually have the SpaceX equity. So that is not something that we can make any plans on till we get the equity. We have a right to it, but we do not actually have that equity yet. So we will see how that plays out. An IPO may happen. Obviously, it will happen independent of our plans, but we will make sure that we maximize our options around the timing whenever that shows up and what options we might have. In terms of holding the size of the equity we have from I think we are very happy with that at this point. I do not think we are actively looking necessarily to make any transaction at this point based on that. So that remains on our balance sheet until we get it, and then after that, we will decide how to proceed depending on the conditions at that time. I am looking at both active and passive investments, again, depending on the return. So we will keep you posted as soon as we get to the point that we actually have that cash at hand and are ready to make some transactions. Charlie, I think the rest is ready for you.
Charles Ergen: Yeah. So on direct-to-device, I mean, obviously, we are disappointed that we were not able to continue with something we built over 17 years and, you know, I think we are proud of the fact that we have helped and created an ecosystem for direct-to-device. And I think that we are also pleased that we have made our bet, and that is with SpaceX and Starlink. We see them as the most viable company to do that, and with their tremendous technology and launch capabilities, they are well-positioned to certainly be a leader in that. And as we publicly discussed, we already have an agreement with them to provide that to our customers. Obviously, you are going to, you know, at Mobile World Congress is going on now, I expect there will be quite a few announcements there. There will be other players in the marketplace, but I do not think you are going to see too much from anybody except SpaceX in the near term, Starlink in the near term. And I think that, based on our experience, that is the company we think will be the leader.
Sebastian Petty: Thank you both.
Operator: Our next question is from Brent Penter with Raymond James. Please proceed with your question.
Brent Penter: Hey, good morning, everyone. Thanks for taking the questions. First one for me, a follow-up on Sebastiano's question on SpaceX. So based on the deals, I think you all were supposed to get around a 2.8% stake, which at the time was valued at $400 billion. As you mentioned, those deals have not closed yet, but they have since announced the merger with xAI. So how does that xAI deal affect your ownership in terms of percentage, and how can we think about any kind of mark-to-market associated with that deal?
Charles Ergen: Yes. This is Charlie. I do not think we know. I mean, I think we are not privy to what that IPO, if an IPO happens, or what it would happen. But it looks like, I think the merger appeared publicly to be something like 80/20 between xAI and Starlink. So that probably gives you a feel for what our investment might look like. But we just do not have any internal information there today.
Brent Penter: Okay. That makes sense. And then the tower companies have announced that you all stopped paying them, and you all talked about the litigation in your 10-K. Last quarter, you had said you believe that you were relieved of these payments, but now you have actually stopped paying them. So just wondering what actually went into the decision to take that next step and stop paying.
Charles Ergen: Well, yeah, thanks for the question. The first thing most important to us was, of course, to make sure that all of our customers on our network were not disenfranchised by the existential threat that we got when the FCC informed us of an investigation to take our spectrum. We believe that, without question, is a force majeure event. But we wanted, first and foremost, to take care of our customers, which we did, and we moved successfully all our customers last year. In the fourth quarter, we moved all our customers off of our network. At that time, given the force majeure event and the FCC's action, obviously, we have a network that generates no, we have a network that generates no income, so we informed all of our vendors that we had a force majeure event as we are allowed, as we have per our contracts. And as you know, since that time, several companies have commenced litigation against our independent DISH Wireless entity, which is party to the relevant tower agreements. And I am disappointed in that because, by contrast, those companies who have not litigated, we have had good open faith negotiations, and we have settled hundreds of contracts. And, you know, most recently, we signed a settlement agreement with a large tower company who did not commence the litigation because, at that point, principals can talk to principals. When the other companies, it is lawyers. And so you can expect, you know, my experience has been that that will be protracted litigation because the lawyers talk to the lawyers, and they do not typically hurry to get anything done. It is just different than when business people talk to business people. I wish we were not here. You know, I wish, you know, it is an ongoing and evolving situation, but we will continue to appropriately respond to any litigation that has been commenced. We will assess all of our available steps in front of any courts or venues, and we will engage with more tower companies to seek consensual solutions, and we will consider all our alternatives available to the company that is party to the tower group contracts to resolve these matters. And, you know, for the tower companies that commenced litigation, that is all public, and that likely, you know, typically, the wheels of justice do not move very quick, and that will probably take some time before we actually know all the results of that. But we do not believe, just to be clear, we do not believe we owe any money. And I think it shows our good faith that we have settled with a lot of people and attempted to engage in negotiations with people when people do not pick litigation.
Brent Penter: Okay. And can you remind us what assets exactly are held at that DISH Wireless entity?
Paul W. Orban: In general, it is the 5G network build. So it is all the assets that were deployed to build the network and have it operational. So antennas, servers, radios, so forth and so on. Anything you would need.
Brent Penter: So kind of the other segment that you are now reporting?
Paul W. Orban: Correct. The other segment has those assets entered. Yes.
Brent Penter: Okay.
Operator: Thanks, everyone. Our next question comes from David Barden with New Street Research. Your line is now live.
David Barden: Hey, guys. Thanks so much for the questions. Two, if I could. First would be just, Hamid, could you talk about how the approach to the vendor payment situation impacted fourth quarter results in the wireless segment from an EBITDA perspective? And how, when you do reach a settlement, how does that all run through? Is there, you know, I guess we are not going to be able to predict it, but it would be fun to know how it is all working. And then I guess second, Charlie, just to confirm, you do not have an anti-dilution provision, it sounds like. But when you see Elon kind of plucking a $1 trillion valuation for SpaceX out of the air when it was $400 billion in June and $250 billion for xAI, as, you know, a large shareholder where, you know, a large part of your stock value is this holding, how much credence do you put in that? Like, what do you really think it is worth? Because or do you really believe that it is worth $1.5 trillion put together? Thanks.
Charles Ergen: Let me take the second part, and I will generally answer the first part and turn it over to Paul. Again, I think that, having spent decades on direct-to-device and space, it is our belief that SpaceX is a one-of-a-kind company. And I cannot speak to the valuations. Markets, you know, go up and down, but space is going to be an increasingly important aspect commercially, but, obviously, you are seeing it militarily and other things as well. So in direct-to-device, when you can connect, it is not just phones. It is IoT. It is cars. It is anything mobility. When you connect any square inch of the planet, that is just a big business. And so I can only say we, I can only say it this way, that SpaceX is a company—and I am not talking about just Elon, I am talking about the company and the management of that company. They have been the best company I have ever worked with in 45 years. They are just responsive. They are creative. They move at a pace that most companies do not. So I think, you know, I do not think any amount of valuation is probably crazy there. Obviously, we are not privy to their numbers. So we invested on faith, and we invest in people, and we felt that the best people we can invest in. So I am anxious to see if they do, in fact, do an IPO. Obviously, there will be a lot of things to look at. I am anxious to look at that. But we do not have insight as to what—we do not know what the value is, right, other than we believed the transaction that we did. We thought that initially we were not getting the value for our spectrum. We thought with the growth of SpaceX that we likely could see that we could get to the value that we thought better spectrum held, and it remains to be seen. As far as what the question was about the cost for the—
Paul W. Orban: Yeah. So let me address that. Thank you for the question. First of all, it is a little complicated. You have to go back to Q3 where we took the impairment charge that we recorded. In that impairment charge were costs related to any future commitments where we had contracts. So, for instance, the tower expenses would have been accrued for in that impairment charge. So you do not see those in the Q4 numbers. However, what you do see is just normal operating costs and accruals for normal operating that you have to run the network that is running through Q4. Hopefully, that makes sense.
David Barden: That helps. Thank you.
Operator: One moment please while we poll for questions. Our next question comes from Bryan D. Kraft with Deutsche Bank. Please proceed with your question.
Bryan D. Kraft: Hi, good morning. Thanks for taking the question. I had a couple, if you do not mind. First, I wanted to ask what the path is to getting the wireless business to profitability on an EBITDA basis. Secondly, I just want to ask you, how quickly do those connectivity expenses in the other segment go away over the course of 2025–2026? It looks like about 70% might have been gone in Q4 based on the math I did. I do not know if that is right. But trying to figure out, does that go to zero in Q1 or Q2? And then the last part of my question is, is it still your expectation that total decommissioning costs will be in that $7 billion to $10 billion range? And is there any further granularity that you could share on the tax liability component of that? Thank you.
Paul W. Orban: So on the Q4 cost that you had for the other segments, what you are going to see is over time as we decommission all of our tower sites that that number will decline. As you pointed out, it is not down to zero yet, but you will see a big decrease in that in Q1 and Q2. One thing to keep in mind, though, those numbers do include—if you back into that number—it does include the non-cash accretion on the lease liability. So, like we talked about in the Q3 earnings call, we discounted back to today’s dollars the amounts that we owed on the lease and took that as an impairment charge. We need to accrete that up over time. And so that is probably about half of the number that you are seeing going through the P&L there.
Charles Ergen: And then on how do we get DISH Wireless to positive, profitable, you know, I have now been involved for the last couple months in the day-to-day operations. And so it is disappointing where we are after four years, but we are very, very, very close to a breakeven business there. And that includes the—and I can tell you the way I look at it. The way I look at it is I look at the total cost of running the hybrid RAN and hybrid core because that obviously has cost; it does not have as much cost as the network, but it obviously has cost. And then I look at it for every new customer we get, are they a profitable customer? In other words, I know we are making profit on the customers we have today. We have already invested in those customers. I have seen that we can do that. But every company that we have here has to stand on its own. And, you know, we are for-profit companies, and we have to make a profit in all our business. And so that will be the focus there. But we are close to being where we need to get to turn the corner, but we are not there yet. There was one other question which I did not quite understand.
Bryan D. Kraft: What is your expectation on the decommissioning cost, the $7 billion to $10 billion range that you had previously given? Is that still what you expect? And is there any further update you could give on the tax liability on the spectrum transactions?
Charles Ergen: Yeah. I think that we have written off about $16 billion on the network decommissioning, which includes all the operational cost. And so it is a significant—meaning we made significant investment, and I think we wrote off about $16 billion. We think that in terms of taxes and further decommissioning, that is somewhere in the $5 billion to $7 billion range today. And I think that is what we announced last quarter, but there has been no movement in our analysis of that yet. And, obviously, it may take some time, given the litigation, to get the final answer. But it is in the $5 billion to $7 billion range, is where we are today.
Bryan D. Kraft: So, sorry, $5 billion to $7 billion is your updated view versus the $7 billion to $10 billion previously?
Charles Ergen: No. I think our initial reaction was $7 billion to $10 billion, and I think we, in Paris, maybe that number came out. But I think last quarter, I think there was a range even in Paris of $5 billion to $10 billion. I think we got that down to $5 billion to $7 billion. That does not mean—that is our best guess today, right, for taxes and decommission cost.
Paul W. Orban: And to clarify, that is cash payments that we think we would make.
Bryan D. Kraft: Yes. Thank you.
Hamid Akhavan: Okay. As I mentioned in my opening remarks, taxes, liabilities, investments, everything else, value with SpaceX, everything else is interrelated. It is a dynamic picture. It is impossible, literally impossible, to nail it down right now, and given all the movement, some internal, some external beyond our control. So anything we give you outside of the estimation that we have—even the estimation we have—is just an estimation. I mean, things are changing very rapidly and we have been seeing for us to give you a very precise number that can change tomorrow afternoon. So that is the best we could do today, but, obviously, as the variables get reduced over time, we can give you a much narrower range.
Charles Ergen: Okay. Great. Thank you.
Operator: Our next question comes from John Hodulik with UBS. Your line is live.
John Hodulik: Great. Thank you. A couple of questions for Charlie, if I could. First, Charlie, any high-level thoughts on the Paramount/Warner Bros. deal? What would that mean for linear TV distribution? And maybe do you think it will affect the industry’s ability to offer skinny bundles going forward, which seem to be driving a lot of the improvement we have seen in cord cutting. And then number two, I do not know how much you can comment on this given the upcoming auction, but just anything you can say about further spectrum sales, maybe timing, or whether we should expect them and the value of your remaining spectrum holdings?
Charles Ergen: Yeah. On Paramount/Warner Bros., I would say we have had good relationships with those companies for a long, long time. Obviously, they are going to have a long regulatory process. So we will have to see how that goes. But it is further cost concentration in an industry that is changing technically, and I always worry when you are competing against your own distributors. I mean, they have a direct line to the consumer and you are competing against that. They are a valued vendor that, obviously, is something that we have to keep our eye on. But we will wait for their filings and, you know, both great companies and great management for both those two. So we will see, you know, we will see at the appropriate time whether we have any concerns. And then on—what was the second question? Spectrum sales. Oh, spectrum sales. You know, again, because of the auction, I am going to be very careful here. But look, I think we agree with the leadership of the FCC that one of the things to do here is to get spectrum into use and get it used as quickly as we can. And that has led to the kind of situation that we are in today, and I think our goal is to find the spectrum that we continue to have, to find a home for that, to make sure that that is going to get used in the quickest and fastest and the best way for consumers and for technical leadership in the United States. And I hope maybe we play a part in that, but we may not. So it is still obviously a valuable asset that we have.
John Hodulik: Great. Thanks, sir.
Charles Ergen: So I do not think we have any further questions, so I just want to make one thing clear. We are not going to—we do not plan today to have a conference call in a couple months after the first quarter. We certainly will have filings. But I do not think we will have a lot to add to what we had today. I think we do plan to have a conference call after the second quarter. I think that, hopefully, regulatory and our company looks, you know, and Hamid has had time to get some structure around what he is doing, and I think we can give you a pretty good snapshot of where we are going. But, obviously, we are optimistic about what we have and our ability to compete. And so we look forward to August. If there are material changes in the marketplace or something, we could have a call. But at this point, we believe it is going to be August—or in July or early August—before we have another call, unless something happens in the meantime, which we could have a call anytime if that was the case. So thanks everybody for joining.
Hamid Akhavan: Thank you everyone.
Operator: This concludes today’s conference. You may disconnect your lines at this time, and we thank you for your participation.